Operator: Thank you for standing by. This is the conference operator. Welcome to the Nexus Industrial REIT Third Quarter 2022 Results Conference Call. As a reminder, all participants are in listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions [Operator Instructions].  I would now like to turn the conference over to Kelly Hanczyk, Chief Executive Officer. Please go ahead.
Kelly Hanczyk: Thank you. I'd like to welcome everyone to the 2022 third quarter results conference call for Nexus Industrial REIT. Joining me today is Robert Chiasson, Chief Financial Officer of the REIT. Before we begin, I'd like to caution with regard to forward-looking statements and non-GAAP measures. Certain statements made during this conference call may constitute forward-looking statements, which reflect the REIT's current expectations and projections about future results. Also, during this call, we’ll be discussing non-GAAP measures. Please refer to our MD&A and the REIT’s other securities filings, which can be found at sedar.com for cautions regarding forward looking information and for information about non-GAAP measures. I think it was another solid quarter in the books for the third quarter, I'm looking forward to the balance of 2022 and to 2023 where we will begin to see significant rental rate growth in the portfolio, especially in our Southwestern Ontario portfolio and our development pipeline starts to ramp up. We're in the next phase of our evolution where we will continue our repositioning with the high grading of our portfolio, creating one that is of an institutional quality. In Southwestern Ontario, our London portfolio is not only realizing but also prime for significant rental rate growth. We're also waiting permit for the construction of a 100,000 square foot addition to our building at 1285 Hubrey Road, which we hope to break ground early next year, which was originally planned as a speculative addition now looks very promising for being preleased, as we are just awaiting on a signature on agreed upon terms on an LOI for the space. In addition, we are currently waiting for two existing tenants approval in the Southwestern Ontario portfolio to add another approximately 65,000 square foot each of expansion space to their existing premises. As mentioned previously, the REIT has 22 acres of excess land at the Titan Industrial Site in Regina, Saskatchewan that was acquired in February 2022, and we have submitted a design build package to an existing tenant and the REIT's portfolio to construct an approximately 300,000 square foot build to suit. This looks very promising as the tenant is currently seeking approval from its current company. If successful, we would still have 6.5 acres of developable land left at this site. These aforementioned developments would be completed at an approximate return of 8% to 10% to the REIT. As mentioned last quarter, we are under contract for three additional properties. A brand new build strong covenant distribution center just outside Ottawa to be completed in January 2023. One in London, which is a unit deal, which is in the process of having 150,000 square foot new addition being built and expected to be completed in mid 2023, and this is an extremely valuable site as there’s a significant additional land to continue to expand the facility as the tenant continues to grow. Thirdly, an approximate 85,000 square foot cross dock facility to be built in Calgary, Alberta, with one of the REIT's existing tenants, which is expected to be completed in early to mid 2024. In the current quarter, we closed on a 94,000 square foot strong tenant in A class industrial building in Quebec City, where we assume debt in the rate of 3.63%. We also closed on a 75,000 square foot sale leaseback industrial facility in Montreal, with an annual rental rate increases of 3.5%. And subsequent to the quarter end, we have also closed on a small building in Cornwall, Ontario, with one of the REIT's existing tenants, which is the same tenant as the new build in Calgary at a 7.25 cap rate as we have a longstanding relationship with the tenant, and we hope to continue to build upon this relationship going forward. Finally, we closed on a four building approximately 450,000 square foot industrial portfolio in Southwestern Ontario for approximately $39 million at a very attractive cap rate of 7% and the price per square foot well below replacement value. As you can see, we have and continue to have an active pipeline of off market opportunities and we'll continue to recycle capital into both developing the aforementioned sites at higher returns within our existing portfolio and newer class A industrial opportunities with solid annual increases. We have built a strong relationship with several developers in the industry, which should continue to provide ample opportunities to the REIT in major markets going forward. In Richmond BC, we continue with the redevelopment of the approximately 60,000 square foot building for two tenants. One of the tenants commenced their lease on September 1st with a free rent period to expire on November 30th, and the other is expected to commence very shortly. We also continue to plan for 74,000 square foot addition, which would provide significant lift to the REIT's NAV. We're also planning for bonus density, which is, when it's approved and if it's approved, would allow for approximately 450,000 square feet of additional usable square footage. Whether we build it or not, we will decide later in our lifecycle here, but it would provide huge additional value to the site. In Montreal, we continue to work with a developer on the sale of the excess land at Les Galeries d'Anjou. He's still working along with approvals from the city, but we anticipate closing of the transaction in February of 2023, which would allow us to realize our first payment from the developer. We continue the process of reallocating and hygrading our portfolio by selling some of this office retail and noncore industrial buildings, and reinvesting proceeds to acquire high quality industrial buildings, creating an institutional quality portfolio. On August 3rd, we sold a retail property tenant by Rona at 41 Saint-Jean-Baptiste Boulevard in Châteauguay for $8.3 million. On October 4th, the REIT closed on the sale of a retail property at 1185 Chemin du Tremblay in Longueuil for 11.85 million. And we're also under contract right now to sell a property portfolio of smaller industrial properties in Saskatchewan, and we currently have an executed LOI for grocery anchored retail property in Victoriaville, Quebec. Our three building office portfolio will be relaunched when it is anticipated that interest rate’s stabilize and the acquisition market for suburban office begins to open up. We'll continue to look for other noncore industrial and slowly phased out of those and redeploy that capital into class A facilities in the -- probably mostly in Montreal area in Ontario. Post sale of our Victoriaville property and post closing of our Ottawa acquisition, the REIT’s holdings will increase to approximately 90% of NOI derived from the industrial sector. So it's moving along quite quickly. I'll now hand it over to Rob Chiasson to give greater detail of the REIT’s financials.
Robert Chiasson: Thanks, Kelly. As Kelly mentioned, Q3 was a solid quarter for the REIT inline with our expectations. We completed $40.5 million of acquisitions in the third quarter and a $39 million acquisition subsequent to quarter end. The weighted average cap rate on this $80 million of acquisitions is 6.2%. We assumed $9.5 million of debt at 3.63% on these transactions with a balanced finance through new debt. The impact of our acquisitions combined with positive same store NOI, our AFFO payout ratio decreased from 90.3% for Q2 to 88.9% for Q3. Q3 per unit measures were once again impacted by foreign exchange losses of $0.006 per unit. Absent the impact of the $460,000 unrealized foreign exchange loss in the quarter, the payout ratio would have been 86.1%. We increased our credit facility by $100 million in the quarter with the increased security against 10 previously unencumbered properties. On the investment property valuation front, we applied some cap rate expansion in our valuation of the REIT’s retail and office assets. We also applied some cap rate expansion in our valuation of some of our industrial assets. However, that was more than offset by increases to stabilized NOI. The recently announced Summit transaction implies that there's significant value in Ontario and Montreal industrial assets in particular. For the remainder of 2022, we have approximately $5 million of mortgage at a weighted average 3.55% interest rate that will mature and in 2023 we’ll have approximately $50 million of mortgages with a weighted average interest rate of 4.35% that will mature. The bulk of the REIT’s in place mortgages mature at 2026 on and were not significantly exposed to renewal rates. I'll now turn the call back to Kelly.
Kelly Hanczyk: Thanks, Rob. We'll open up the call to any questions that you have.
Operator: [Operator Instructions] The first question comes from Brad Sturges with Raymond James.
Brad Sturges: Just starting on the development pipeline and discussion that you have there. Obviously, you just identified a few projects that you're advancing on. With all those projects that you just highlighted, would those all potentially break ground next year?
Kelly Hanczyk: I would say that definitely the 100,000 square feet would break ground next year. If we're successful in the 300,000 in Regina that would break ground next year for sure, we have plans getting ready to go. It literally is just one of our tenants was purchased by a company in Britain, they have to go for approval to their parent on that one. So we're kind of hopeful for that one. And then the other two, I think I believe that one of the tenants is awaiting on a contract. And if they get it that will break ground relatively quickly as soon as permits are in hand. And then the other one that one they're making a decision in January. So most of them, I would say, would break ground next year.
Brad Sturges: And then I think, in the summer you bought a couple of development sites with RFA in Hamilton. Are those scheduled for construction next year as well?
Robert Chiasson: One of them is -- I guess, the first one that we have a 20% interest in is probably further out, that one's not serviced yet. But the other two are probably start next year or the year after.
Brad Sturges: So how much potentially could you seek to develop next year, I guess, if everything kind of hits? And then what would -- do you have a rough budget of what that might cost?
Kelly Hanczyk: So the ones I mentioned, I think we've got pricing somewhere between 120 and 130 a foot. And that equated to 300, 400, call it 500 and change square foot.
Brad Sturges: And the two, just reminding the Hamilton sites that are closer to breaking ground, how much would that be?
Robert Chiasson: So next year, I don't anticipate there will be significant cash required for those, because we have BTBs and other financing in place, and we'll have construction financing.
Kelly Hanczyk: I'm not -- the Hamilton ones, I would think, if anything, they would be either late next year or they're probably 2024.
Brad Sturges: Maybe just thinking more generally about development and how you're thinking about pursuing specific projects? Are there certain kind of criteria or aspects you're looking for to pursue a project related to being approached by a tenant in their specific needs or return profile or capital requirements? Is there a couple of factors that you really focused on in terms of what makes a project worthwhile pursuing?
Kelly Hanczyk: Really it's our return, but we're looking at developing the land that we have now. The Regina, we had 22 acres, so that was a no brainer to go forward and try to find a tenant, which we found within our existing portfolio. So we approached them, they love the site and it works for them. So let's see if they get approval. But again, we're looking a little bit outside. And returns here we can get, the one in London and the other two, we've kind of already looking at around a 10% return on those. So we're just striving for that, probably more like 8.5% to 10% and if we're really lucky 11%. So really, that's what we're looking at, and we were just lucky. In Windsor, one is in Windsor, that site has the ability to expand on St. Thomas, Ontario, which has pretty good land to expand on and then the London we have an abundance of land, and we're looking at the London portfolio, in particular, because we do have in the overall portfolio quite a bit of land. So we're kind of looking at and saying, what's next after the 100? So we'll go from there. But yes, we're looking from a return base.
Brad Sturges: On the Richmond there, one tenant commenced their occupancy and had a free rent period, but the second tenant also have a free rent period, or when would you expect?
Kelly Hanczyk: I'm hoping it's December 1st, and it doesn't have a free rent period.
Brad Sturges: So you could see some contribution in Q4?
Kelly Hanczyk: Yes.
Brad Sturges: And I guess you're going through the permitting process for the next phase, where would that stack up in terms of priority and where would you be in that sort of process?
Kelly Hanczyk: Well, we submitted, it's also for the bonus density. So it'll probably take maybe a little bit longer to get that through, because the bonus density is very valuable and that's a little trickier to get. But I think the Richmond elections have some new people in council and they're pretty keen on the project as a whole. So I'm fairly positive that we're going to get it, but we will soon see.
Robert Chiasson: Brad, a little to my response earlier. We're looking at about $17.5 million of capital towards the end of ['22] of the RFP development projects and then the other small amount, I guess, in April, roughly $4 million.
Operator: The next question comes from Kyle Stanley with Desjardins.
Kyle Stanley: Just looking at the dispositions. I'm just wondering what kind of pricing you expect? Specifically, you mentioned Victoriaville in the portfolio and Saskatchewan, just an overall kind of high level price that you might get for that?
Kelly Hanczyk: So Victoriaville will be right around our book value. And the Saskatchewan portfolio, pretty much is bang on or slightly above our book value as well that we're currently carrying at. So fairly strong pricing on both of them.
Kyle Stanley: And then maybe in the press release, there's commentary about [leases] that commenced in the third quarter at $1.35 per square foot spread over the expiring, and in the fourth quarter $2.50. Could you provide either what the expiring rate was before or actually what the percentage increase was?
Robert Chiasson: I could, if you give me a minute, we can come back to that one.
Kyle Stanley: I guess just look you mentioned that -- I going to ask Rob this question, so it may stop you from looking. But as you look to [refinance] the $50 million of mortgage debt maturing next year, I'm just wondering, I guess, what the cadence of the maturities are, if they're kind of front, backend loaded in the year, and then where you're seeing the potential rate on that currently?
Robert Chiasson: So I'd say $30 million of it is towards the end of April, and so that's the bulk of it. And so we're going to see, I mean, we have the weighted average, that was in the MD&A when I talked to. Right now, we'd probably be looking at, if we put five year mortgage financing on probably the low 5s, low 5% range, we're developing an overall debt strategy right now looking at, we've drawn some funds on the credit facilities that are in variable rate Form DA plus. And so we're taking a look and seeing whether it makes sense at this point to either swap or to enter into five year vanilla mortgages. But yes, we'd expect refinancing, it's doing five year mortgage, probably in and around the low 5s based on today's rates. And I think the bond yields factor in some more increases to the overnight rate. But my crystal ball is a little bit murky in terms of where interest rates are going.
Kyle Stanley: Just looking at acquisitions. I mean, you had some commentary in your prepared remarks. But I guess just how are you thinking about acquisitions going forward, still seeing deep pipeline? I'm curious, where you're willing to take leverage to get anything done? And then Kelly, in your comments, you said focusing more on Montreal and Ontario. Do we take from that, that maybe you’ll be less active in Western Canada going forward?
Kelly Hanczyk: Yes. I think at the end of the day, where we're evolving to right now is major market, Montreal, Ontario. And I think you'll see over the next little while continue that transition. I think, we’ll slow down on the western front. We have a lot of opportunity here through relationships we've built, so off market opportunities, which is good, still our London family, as well have some nice assets to roll in when the time is right there and those would be a unit deal. So we're going to continue to recycle that capital. We'll look at identifying some other ones towards the end of this year to kind of launch maybe January, February, that will allow us -- because a lot of things that we have closing come later in the year next year. So we're staggered throughout the year in our future PSAs. So we'll just continue to recycle that capital, take it out of small -- smaller sites and still continue with some of the retail and office if we can, and we'll just keep continuing to recycle that back into the high column A class newer assets where we would see deals with pretty significant rental REIT increases where we’re in the 4% to 5% per year on new deals. So where I'd take leverage to it's going to depend on our sales program as well. So I'm trying to balance the purchases with sales at the same time, I guess.
Robert Chiasson: I'll just come back to your earlier question. So on the Q3 renewal, we started out at about 425 a foot ad the reason that number is low is we have Stryker Medical in there who was in at a fairly low rate, and our lift in the first year, our are going in lift is not as high as our ultimate lift will be. I think we're gradually increasing the rents for the replacement tenant at that location. And Kelly's built in some good steps. So that's the reason the starting rate’s a little bit lower there is because we're easing the tenant into market rents. And we've got 745 is roughly the starting rent for the Q4 expiries, that would be renewed.
Operator: The next question comes from Mark Rothschild with Canaccord Genuity.
Mark Rothschild: Kelly, when you spoke about 8% to 10% return on projects, first, I guess, I assume you meant unlevered. But can you comment on how that will work with new development projects, such as in Regina, it wasn't clear to me, I didn't think you were talking about those projects as well? But maybe just expand on what your target range would be?
Kelly Hanczyk: Yes, it's pretty simple. We were looking at what is our spend, so it's 130 bucks a foot on 100,000 square foot addition, we'll get 13 bucks for the rent. That's how we look at when we're looking at that return, and that's kind of the deals that we're doing down in London right now. So hopefully, those come to fruition now. Regina, we're pricing out for the tenant right now, might be slightly under 10. But I'm thinking that's between an 8% and 10% return straight on our cash out.
Mark Rothschild: And maybe this is connected, when you look at acquisitions, and it seems like the replacement cost is going up quite a bit, but properties aren't necessarily trading out replacement costs. How do you look at that? And in the short term, does replacement costs matter when you're looking at new acquisitions in a market where the rent is going to be stable and growing?
Kelly Hanczyk: I'd say, it depends, right? It depends on the asset, it depends on everything -- we're a little bit -- I'm shifting, I guess, shifting gears here, and I do call it the evolution of the company. We have this Summit that's been taken out and sort of leaves us as the only industrial option. And what we're trying to do is build an institutional grade portfolio going forward. We have, I think, succeeded in doing that in what we've recently purchased. And at the end of the day, there's going -- it depends on what area you're in, like in Windsor that we bought the four assets, it’s well below replacement cost. Newer product that will roll in, it’s new product that would be -- it's brand new, you're trading and getting it at, call it, replacement cost. So at the end of the day, it's a mixture of both that we're looking at. And we'll continue to get class A industrial brand new product. We have fairly strong relationships that we can take that down pretty easily. We also have strong relationships in London and in other places that while not brand new but pretty new stuff. We're getting new relationships every day with guys interested in possible unit deals. So I think where we're going right now is, it's either again, under market rents that we see value and lift in or relatively higher increases on a year-over-year basis where it might be at market or slightly below market, but they've negotiated 4% to 5% a year rental rate increases or CPI. So that's kind of the mantra going forward right now.
Operator: The next question comes from Matt Kornack with National Bank Financial.
Matt Kornack: Just quickly with regards to the forward purchase assets. Can you give us an update as to where those are in the construction process, and when you'd be likely acquiring them, has anything changed there?
Kelly Hanczyk: So I believe the Ottawa site is due January or February, or actually March. So that one's March. And then the one in Calgary, I believe haven’t broken ground yet, that will probably be -- they’re anticipating end of next year. I think it's going to be more like May of the following year. And then the London deal where it's a unit deal, that should be in the summary and I'm contemplating around June for that one.
Matt Kornack: So in terms of near term commitments, it's really the Ottawa asset. And what is the dollar value for that one in particular, if you can provide it, I don't know if that's possible?
Kelly Hanczyk: I just have to look it up here. Yes, it's around $115 million.
Matt Kornack: And in terms of financing that on completion, I assume you get secured financing for a portion of it. But do you need asset sale to kind of fund the balance, or is this new credit facility availability that you have enough to kind of bridge that equity component?
Robert Chiasson: I mean, I think between the credit facility, the undrawn amount there and we've got some unencumbered assets, the $40 million acquisition that we just completed is unencumbered. And we've got other assets, couple of other assets that are unencumbered, we have the funds to finance the purchase of the [Casmin] property and probably about $300 million or so of acquisitions.
Matt Kornack: And then London, the full equity component is going to be units. Is that fair to assume?
Kelly Hanczyk: Yes, we would assume the existing debt. And we would -- I think, that was a deal struck before I believe, I'm trying to remember the actual balance between, but it's all units and existing debt on that one.
Matt Kornack: Just with regards to the acquisition in Tilbury and Windsor. Would they -- I mean, I guess if you impute rents at something like $6 a square foot rent to get to a seven cap. Is that market -- I'm not as familiar with that market, or is there some potential capture on upside as well the rental foot…
Kelly Hanczyk: It's a longer term lease but it's well below market. Market in Windsor is about 950 a foot, an you’re bang on rate around the rent, the existing rent.
Matt Kornack: So longer term as in 10 years or…
Kelly Hanczyk: I’m just trying to remember. It might be -- give me two seconds, I’ll tell you. Just trying to find it’s here in front of me. 2031 it expires.
Matt Kornack: And then you've been very active, the same property portfolio isn't really indicative of kind of actual portfolio trajectory. But can you give some sense? I mean, like I can't remember what your policy is in terms of inclusion in the same property portfolio. Does it have to be in for the full year-to-date? But maybe if you could give a sense as to what's not in the same property portfolio. How that -- the trajectory of that relative to kind of the same property portfolio?
Robert Chiasson: So in order to include something in the same property, it's in the full quarter for both Q3 2022 and Q3 2021. And then in terms of trajectory, I mean, I think Kelly mentioned we have, I think we mentioned in that press release that we have quite a number of square feet that's coming up for renewal where we expect pretty good lift in rental rates. So I'd expect same store NOI to continue to increase [Technical Difficulty] upward trajectory for sure.
Matt Kornack: And then last one for me just quickly, the lease maturity profile that you show, I mean, there's not much that matures in the balance of 2022. But that doesn't necessarily show what you may have signed in prior quarters. Is that -- essentially what I'm saying, is that a net number as like..
Robert Chiasson: Correct…
Matt Kornack: So do you have a sense as to how much actually matures and at what rent spread it's maturing in Q4 itself?
Robert Chiasson: I do, but I don't have it. I have it in a couple of different files that I need to add together. So I think we had -- we said about 17,000 square feet was what hasn't been renewed yet, and I'd have to get back to you on the other number.
Matt Kornack: I guess we could take a typical kind of proration of normal and apply kind of a pretty good spread using the numbers that you maybe disclosed last quarter in terms of relative weighting. Anyway, it's okay. We'll figure something out. But sounds good. Thanks guys.
Operator: The next question comes from Gaurav Mathur with iA Capital Markets.
Gaurav Mathur: Just quickly on renewals and the getting the recession drums here. Our tenants continuing to have renewal conversations earlier than usual, or is that changing in any manner?
Kelly Hanczyk: I think it depends on the market you're in. So in London, we're pretty on top of things and we're well into discussions. And I'd say west, it's a little slower happening out there right now. Montreal, again, pretty quick. So in Montreal, I'd say Montreal and Ontario, you're having them now well in advance of a year. I know in Montreal, a couple of our sites, we've done renewals, completed a few renewals where the tenant doesn't even need to renew until end of next year and early 2024. So again, I think it depends on the market.
Gaurav Mathur: And just on the acquisition front for industrial properties in your targeted markets. Can you talk about how the stabilized yields have moved, when comparing it to the beginning of the year?
Kelly Hanczyk: Yes, it's going to depend, right? So it depends on the asset. So if you're sitting on an asset with a 1% a year increase that has been affected, probably, I'd say by about maybe 50 bps. But if you have a newer asset, newer assets that have 4% to 5%, which is the norm or CPI in there, you're still seriously high in demand. So I don't think that cap rate has moved at all. So really depends on your rental stream.
Gaurav Mathur: And just lastly, we noticed the uptick in leverage this quarter. Is there a range that we should think about going forward?
Robert Chiasson: We'll probably, we'll continue to add that as we acquire, and so we will see ourselves pushing 50%.
Kelly Hanczyk: And then, like I said, it's going to depend on the success of moving some of the older stock and the remainder of the office, and some of the other things that we are trying to move. So again, it's just repurposing of the capital.
Operator: [Operator Instructions] The next question comes from Jimmy Shan with RBC Capital Markets.
Jimmy Shan: I just wondered, if you could just talk in general what you’re seeing in the acquisition markets, as a follow-up in terms of depth of bids appetite. We just heard from a call earlier that core industrial are not clearing at prices that we're trading earlier in the year or last year. Just kind of wondering what you are seeing?
Kelly Hanczyk: I'd say definitely in Montreal and Toronto. Like I said, it really does depend on the rent spreads and it depends on what increases you've negotiated in your leases. So those haven't moved hardly at all. But other assets that may have like 1% increase or no increase or every five years, those definitely have been affected. So I've seen portfolios where they haven't traded, I've seen portfolios where I was surprised that the price that they got, because I thought it was overpriced. So I think it's just like market by market and it's almost building by building, you can't just look at one trade and say, well, here's the new norm, it really is what's the lift in the portfolio and what are the embedded rental rate increases, that's really determining the sale price right now.
Jimmy Shan: And the evolution you speak of in terms of moving to more institutional quality portfolio. Did that take you to GTA or other major markets, is that the plan…
Kelly Hanczyk: Yes. So you will see us overtime continue Ontario and GTA is pretty wide, pretty wide range, but Southwestern Ontario, still a big one for us. Montreal, we're seeming to get pretty good traction in right now. So we're going to start over time to rotate out of some of our older assets in Alberta and rotate back in into Ontario and Montreal. And we really have developed some pretty good relationships that I think we can do quite well over here.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Kelly Hanczyk for any closing remarks.
Kelly Hanczyk: All right, thanks everyone for joining, and we will see you next quarter.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.